Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2015 Ally Financial Earnings Conference Call. My name is Emma, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. 
 And now I'd like to turn the call over to Mr. Michael Brown, Executive Director of Investor Relations. Please proceed. 
Michael Brown: Thanks, Emma, and thank you, everyone, for joining us as we review Ally Financial's Second Quarter 2015 Results. You can find the presentation we'll reference during the call on the Investor Relations section of our website, ally.com.
 I'd like to direct your attention to the second slide of today's presentation regarding forward-looking statements and risk factors. The contents of our conference call will be governed by this language.
 This morning, our CEO, Jeff Brown; and our CFO, Chris Halmy, will cover the second quarter results. We'll also have some time set aside for Q&A at the end.
 Now I'd like to turn the call over to Jeff Brown. 
Jeffrey Brown: Thanks, Michael. Good morning, everyone. Thank you for joining us today. Let me start on Slide #3, and by design, this is the same slide we shared last quarter that highlights, at a very high level, our key strategic priorities. These include: number one, diversifying our auto finance business; number two, expanding our franchise so it’s best positioned for long-term growth; and number three, improving shareholder returns.
 Chris and I will share more details on our progress as we work through today's presentation, and as you will see, we're delivering on each of them. 
 Turning to Slide #4, let me lead with 2 key points. First, we're fully on track with our financial targets, and second, credit continues to perform in line to better than expectations, and we're being prudent in new originations coming on the balance sheet. 
 Auto originations were very strong in the first 2 quarters of the year. We booked over $20 billion in originations in the first half of 2015. We're fully confident in delivering originations in the high $30-billion range for the full year. The strong start in originations will also allow us to be even more selective on what we put on the balance sheet over the remaining 5 or 6 months of this year, while ensuring we're generating appropriate returns on capital usage. 
 The business continues to be more diversified, including from a channel, mix and product perspective, and we believe this is a better mix of assets given our macroeconomic outlook in the auto-specific supply trends. 
 As I highlighted at one of the equity conferences during the second quarter, there was an uptick in allowance we booked, which is more of a function of the lease-to-loan product shift versus any meaningful change in credit expectations. We're committed to achieving the core return on tangible common equity target of at least 9% and the capital actions we have already taken are important steps towards normalizing equity levels. There's still more improvement to come, specifically we've been pretty vocal on addressing the remaining Series G in the near term, and we're in discussions with the regulator about this matter. 
 We're on target to drive the adjusted efficiency ratio to the mid-40%, even while we make critical investments that will enable us to grow and deepen customer relationships. But obviously, a disciplined focus on costs, with a constant focus on return on investment, also contributes to ROE expansion. So high level, we're on track against each of these commitments for the year and we're very focused on the next stages of execution that can help surpass these initial targets.
 Turning to Slide #5, let me touch on the quarter before handing it off to Chris. We delivered net income of $182 million in the quarter, including $155-million charge related to the debt repurchases. Obviously, these capital and liability management actions are focused on improving financial returns over time. 
 Core pretax income was $435 million for the quarter, which is an improvement from the prior year, and while down from prior quarter, you may recall we benefited from about $90 million in one-timers in the first quarter. So normalized, we feel very good about the linked-quarter progression. Adjusted earnings per share was $0.46, up from $0.42 last year. Core ROTCE was 8.2% for the quarter and the adjusted efficiency ratio was 46%.
 We also continued to see net interest margin expansion to 2.58%, which is an increase of 11 basis points from the prior quarter. And we got it from both asset yield expansion and cost of funds contraction. Obviously, for this rate environment, we're pleased and we still see opportunities to come.
 Auto originations were very strong at $10.8 billion for the quarter, which is relatively flat with the year ago, however, as you know, the landscape this year is very different than last year. The second quarter was the first full quarter following the changes to the lease business, and when you exclude all GM subvented business, Ally's originations were up 36% year-over-year and the growth channel, in particular, was up 58%. 
 The auto finance franchise is a formidable competitor, with the associate expertise, customer relationships and flexibility to adjust to new market dynamics. Results this quarter are another demonstration of it.
 Now let me shift to our deposit business. We had retail deposit growth of $1.1 billion in the quarter, which is an increase of 13%, and equally important, is that we welcomed another 35,000 customers to Ally. We're spending a tremendous amount of time understanding the existing customer base, thinking about emerging trends and financial services and focused on how we really change the landscape in the years to come. 
 So we continue to make progress on our financial targets, diversifying our business and expanding our customer base. This is a road map to improve shareholder returns, and we're poised to build upon these. And with that, let me turn it over to Chris Halmy. 
Christopher Halmy: Thanks, J.B. Let's start with the details for the quarter on Slide 6. We delivered another solid quarter, with core pretax income, excluding repositioning items, of $435 million. Net financing revenue of $927 million was up both year-over-year and quarter-over-quarter. Strong order originations are driving earning-asset balances higher, and these loans are coming on at attractive yields. Funding costs continue to come down and we continue to see used car prices remain strong. 
 Other revenue of $368 million return to a more normalized level this quarter progress. As you will recall, we booked a gain last quarter of about $65 million on the sales on legacy TDR mortgage loans. Provision expense of $140 million was up, driven by our strong loan growth as well as some releases in prior periods that did not repeat.
 Total noninterest expense came in at $724 million, which is broken out between controllable and noncontrollable items. The increased quarter-over-quarter is driven by insurance weather-related losses, which are seasonally the highest in 2Q. We continue to make progress on controllable expenses, which were down another $10 million year-over-year and $21 million quarter-over-quarter. 
 These results, including the debt tender charge, resulted in GAAP net income of $182 million. Adjusted EPS for the quarter was $0.46, core ROTCE was 8.2% and our adjusted efficiency ratio continued to decline to 46% in the quarter, and both metrics are on-track to meet our year-end targets. So overall, another solid quarter.
 Slide 7 hits the results by segment. Auto finance had a great quarter, with pretax income of $401 million. Strong originations resulted in higher asset balances, which combined with favorable net lease revenue drove the increase quarter-over-quarter. Year-over-year results were partially driven by higher provision expense and compression in commercial yields and lease revenue. 
 Insurance pretax income of $15 million was up from prior year. 2Q was typically the seasonal high for weather-related losses but were favorable to last year's record-high levels.
 Mortgage reported $9 million of pretax income, but had some significant items in the comparative quarters that did not repeat. 
 As we discussed earlier, we had a TDR asset sale last quarter.
 Corporate and other continues to benefit from lower cost of funds on a year-over-year basis. Net interest margins covered on Slide 8. 
 NIM was up 11 basis points quarter-over-quarter, driven by lower funding costs and slightly higher asset yields. In 2Q, we made great progress on liability management and also benefited from some legacy debt maturities which we could not replace. 
 Overall funding costs were down 32 basis points year-over-year and 8 basis points quarter-over-quarter. For reference, there's a slide in the appendix, that outlines our progress on liability management and reducing the overall unsecured footprint, which is down by almost $4.5 billion since the third quarter of last year. We expect further NIM expansion next quarter as the full effect of our liability management strategy is realized.
 Longer term, cost of funds improvements will be driven by our ability to get more assets in the bank where we can fund with deposits. Currently, about 68% of our assets are in Ally Bank, but we did get approval from our regulators to start booking the 620 to 650 FICO loans at the bank, so that percentage will rise. This should get us closer to 75% in the near term, but obviously, we are focused on eventually getting everything funded at the bank.
 Turning the page, we've added a new slide, outlining our sensitivity to changes in interest rates. This is a hot topic right now, so we thought it would be helpful to provide a little more context around some of the comments we've made publicly. 
 Keep in mind that Ally's balance sheet is pretty short duration, turns over quickly and is primarily funded with deposits and securitizations. One of the biggest drivers of our rate sensitivity is the repricing assumptions we used for the retail deposit book. While we have numerous inputs to our interest rate risk model, the assumptions we are currently using, result in a pass-through rate of greater than 80% over time. We do think this is conservative, relative to what historical data would suggest. 
 You can see the sensitivities, but if you were to assume a pass-through rate of 50%, we become neutral to slightly asset sensitive. 
 I'll also point out that if you look at the stable rate scenario, we would benefit versus the forward curve, which has played out well for us as rates have stayed lower for longer.
 The other area of interest rate exposure is the rate floor as we've historically had on our floorplan loans. As we previously noted, we've been migrating dealers off the floors, and as of June 30, approximately 80% of these loans will reprice directly with short-term interest rates. And while that move may have caused us some near-term margin compression, it positions us much more favorably when rates do start to migrate up.
 So overall, while we've disclosed a liability sensitive posture in the past, we believe this could be more neutral to asset sensitive depending on pass-through assumptions and the progress we made on the floorplan side.
 Moving to Slide 10, let's discuss deposits. Another solid quarter with $1.1 billion of retail deposit growth, up 13% year-over-year. We've experienced some better-than-expected deposit inflows in the first half, and now expect to grow the retail deposit both by about $6 billion this year. We grew our customer base 16% year-over-year, adding another 35,000 depositors this quarter alone, and we're quickly approaching the 1 million customer milestone. And we continue to invest in the brand by enhancing the functionality of our iPhone app with Ally Assist, which allows voice interaction and predictive analysis to help customers manage their accounts. 
 Let's move to capital on Slide 11. Our capital normalization process is well underway, with capital ratios trending towards our targeted levels, primarily a 9% common equity Tier 1 ratio. The drivers of capital this quarter was the Series G and a Series A actions as well as about $4 billion of risk-weighted asset growth. In the chart, we show our estimate for the Basel III fully-phased in common equity Tier 1 ratio of 9.3%.
 The key messages here are: we're still running very comfortable levels of capital; we expect to continue to generate excess capital through earnings and DTA utilization; and we will continue to normalize our capital structure as quickly and prudently as possible so we can initiate a dividend and consider share repurchases. 
 On the bottom right of the page, we show our adjusted tangible book value, which adjust for tax effected bond OID and the remaining Series G discount. It was flat quarter-over-quarter as financial results were impacted by the liability management actions and OCI adjustments, but up over $2 per share year-over-year.
 Moving to asset quality on Slide 12. In the upper-left corner, consolidated charge-offs declined seasonally to 39 basis points, and is primarily driven by our retail auto charge-offs shown in the bottom right.
 Retail auto losses declined to 65 basis points this quarter and should be the seasonal low point for the year. In the bottom left, a 30-plus day delinquency rate increased to 2.29%, as seasonally expected. The first quarter is typically the low point for the year, so you should expect delinquencies to continue to increase throughout the rest of the year. We thought it will be helpful to provide additional information on our provision expense, so we added the chart in the top right to help explain some of the dynamics. A couple of key points I'd make. First, over the past year, we had some releases and recoveries in commercial auto, mortgage and corporate finance that have affected our consolidated provision expense. Second, retail order provision is up, due primarily to higher loan balances. As you can see in the chart, our coverage ratio has been pretty consistent, but auto loan balances are up over $2.6 billion year-over-year and $3.3 billion quarter-over-quarter.
 Remember, as our origination mix shifts to more loan versus lease and our loan portfolio gross, you should expect this trend to continue. So to reiterate what we've been saying for several quarters, we feel very good about where we see credit trends, and asset quality continues to perform well within our expectations. I would expect the annualized charges in the retail auto portfolio to approach 1% this year and drifting up further next year.
 Let's turn to Slide 13 and go deeper into the segment results. Auto finance reported $401 million of pretax income in 2Q, and we've already covered the drivers of the financial results for auto, so let's focus on originations. We had a great second quarter at $10.8 billion, with strong performance across all non-subvented channels. These originations, combined with stable floorplan balances, resulted in asset growth of around 3% year-over-year. 
 Looking at the walk in the bottom right, you can see how our origination mix compares on a year-over-year basis, excluding GM subvented products. We grew this business 36% year-over-year, which is a testament to the breadth and depth of our auto franchise, including our dealer relationships and the capability of our associates. 
 On the credit front, about 14% of our 2Q originations were nonprime, which is up from a little over 9% a year ago. This is consistent with our recent focus on capturing more profitable loans in this segment and we continue to be very comfortable at these levels. Year-to-date, our $20.6 billion of originations is up 3% year-over-year, and puts us well on track to achieve our target of high $30 billions of auto originations in 2015.
 Turning to Slide 14. You will see the growth channel made up 32% of our first quarter originations. We continue to see nice gains in Chrysler, and for the first time in our history, GM made up less than half of our quarterly originations. 
 From a product perspective in the top right, you could see that the strength in standard rate new and used loans is offsetting the decline in lease. We fully transitioned away from the GM lease business, and since subvented loans are such a small portion of what we originate, we expect this origination mix to be more representative of our dealer channel and product composition going forward. 
 The bottom 2 charts summarize the balance sheet, continued consumer asset growth and pretty consistent commercial balances. Now let's turn to insurance on Slide 15, which reported pretax income of $15 million for the quarter, up $38 million year-over-year. The driver of the quarter-over-quarter decline was weather-related losses, which are seasonally the highest in 2Q. This year, we recorded $67 million of weather-related losses, which were up seasonally quarter-over-quarter, but significantly down year-over-year to a more normalized level.
 Written premiums in the second quarter totaled $263 million, relatively flat year-over-year, and up $24 million quarter-over-quarter, primarily driven by higher retail volume. 
 On Slide 16, we show the results from both Mortgage as well as our Corporate and Other segment. Mortgage reported pretax income of $9 million. The mortgage loan portfolio was up this quarter to $9.1 billion, reflecting both purchase activity, and again, these are primarily high FICO jumbo loans, which we view as part of our standard balance sheet management process.
 In Corporate and Other, we had a core pretax gain of $9 million. Results in this segment continue to show significant improvement year-over-year, driven primarily by lower funding costs. So overall, we had another solid quarter and a great first half of 2015. 
 And with that, I'll turn it back to J.B. to wrap up. 
Jeffrey Brown: Thanks, Chris. Again, let me sum up by saying that we remain focused on driving improved shareholder returns and long-term growth. We continue to be successful in diversifying our auto business, and we're comfortable with the assets we'll generate. Our credit performance continues to be in line with expectations. And while we've modestly increased appetite, you have to put that into perspective relative to GM lease residual exposure that's rapidly coming off balance sheet. 
 The deposit business continues its strong and steady growth, and we're getting more efficient in gathering deposits. We have a very competitive offering and believe there's still a lot of runway to growth in this franchise. 
 The opportunities we have in front of us include looking at the broader customer base and focusing on them as Ally customers as opposed to just a consumer of one type of Ally product. That is really what we mean when we say one Ally. Looking at our 5.5 million customers holistically as Ally customers. By doing that, we can more effectively explore opportunities to serve them better, deliver products of value to them and, of course, expand our base of business over time. 
 The auto finance franchise will continue to be a key focus and a cornerstone of our company. We have a strong heritage and expertise in this business and no plans to divert our focus. And obviously, the adaptability we demonstrated is quite powerful. 
 So with that, let's turn it back to Michael Brown and discuss what's on your minds. 
Michael Brown: Great. Thanks, J.B. [Operator Instructions] Emma, if you could please start the Q&A session. 
Operator: [Operator Instructions] Your first question comes from the line of Sanjay Sakhrani from KBW. 
Tai DiMaio: This is actually Tai DiMaio in for Sanjay. I just had a question on expenses. You saw a good expense reduction in the quarter despite the diversification strategy. And you're almost at your efficiency ratio target. How should we think about the efficiency ratio long term? And how much is -- of the runway is left in controllable expenses? And how much will come from scale? 
Christopher Halmy: Yes, I mean, let me address -- I -- the first half of the year, we've taken out about additional $30 million of expenses over the 2014 run rate. We expect that expense will continue to be reduced over the next 3 or 4 quarters to really hit, what I would call, a consistent run rate of an efficiency ratio in kind of low to mid-40s. Beyond that, we're very focused on the investments we need to make, particularly to keep the deposit franchise to be the real leading digital franchise out there as well as the ever-changing dynamics in the auto business. So we'll continue to invest in the franchise, and at this point, I would guide you towards that mid-40s efficiency ratio going forward. 
Tai DiMaio: Okay. And just a quick question on remarketing gains are pretty strong this quarter. Anything to call out specifically? 
Christopher Halmy: No, I would just mention that 2Q is always usually your strongest for used car originations and used car prices. So you normally see a tick up in the second quarter on used car prices, which really drove some of the remarketing gains on the cars coming off of lease. So you usually start seeing a drop off in the third quarter and the fourth quarter. So I would expect a decline for the remainder of the year. 
Jeffrey Brown: And Tai, I mean, I would say that's been an area that sort of pleasantly surprised us. I mean used car prices for the first half of the year, has held in very strong, stronger than we initially expected coming into this year. But I think, as Chris points out, we think, at some point, that's got a -- we got to normalize and we'll start seeing lower levels of gains. 
Operator: And your next question comes from the line of Cheryl Pate from Morgan Stanley. 
Cheryl Pate: I just wanted to touch upon the originations guidance, and obviously the front half of the year has been very strong. I'm just wondering how we should think about maybe the competitive environment or sort of the pricing that you're seeing out there that would maybe drive some deceleration on the back half of the year? Or is there something else we should be thinking about there? 
Christopher Halmy: No. I mean, I would say that, once again, 2Q and even going into kind of early summer, are really the strong quarters for our originations. So you tend to see higher originations really in the first half of the year, once again in the second half of the year. But on a competitive landscape, it continues to be a very competitive environment, whether it's in really the super prime, where a lot of the big banks play, or right down to the subprime, where there's obviously a lot of finance companies out there driving competition in the subprime space. I wouldn't say the competition, from our perspective, has ticked up, in any meaningful way, on the origination front. If anything, where we see the biggest competition and compression in yields is really on the commercial dealer floorplan balances, and that's where you'll see really the heavy competition, I would say, over the last few quarters. So we're sticking to our high $30 billions origination number for the second half of the year. We obviously had a pretty successful first half. That hopefully will provide us some leverage from a pricing perspective going forward. But we'll have to see how it plays out. 
Jeffrey Brown: Yes, and Cheryl, I'll just add -- I mean, the another thing, application volume, exceptionally strong right now. I think, we saw north of 2.7 million apps in the second quarter. So to the extent that we continue to see looks like that, we like the business flows, we like the profitability, I mean, could we surpass the upper '30s and get into the '40s? Yes, it's very possible. But I think Chris is right to point out, I mean, we're going to balance that with a little bit more pricing discipline, if needed, in the back half of this year. 
Cheryl Pate: All right. That's really helpful. And just one follow-up, if I may. I appreciate the commentary on the 620 to 640 FICOs now going through the bank. Can you just maybe help us think about what does it take to get that sub-620 FICO band to move through the bank -- to be originated through the bank over time as well? 
Christopher Halmy: Patience. I think, it's -- in all seriousness, it's an ongoing dialogue that we have with our regulators to make sure they're comfortable with the quality of loans. But I think, as we point out, you look out some of our large and regional bank competitors that book everything inside of the bank, we don't think there's any reason why, through time, we won't get there. So as Chris pointed out, migrating down from 660 to 620 is an important milestone. But clearly, the long-term gain is to get everything inside the bank. I mean, the average FICO that we're doing in nonprime space is 580. So you got some skew on both sides of that. But we're not all that far off from being able to put everything in there, but it will just continue to work through with your regulators, on what makes sense, and through time, we believe we'll get there. 
Operator: Your next question comes from the line of Don Fandetti from Citigroup. 
Donald Fandetti: So Jeff, can you -- it was good to see your GM commercial market share holding. I was wondering if you could talk about your competition from GM Financial in that segment. And what are some of the reasons why a dealer would not want to go with GM Financial assuming they're coming in at better pricing? 
Jeffrey Brown: Yes, thanks for the question, Dan. So I would say the time is a competitive environment point, I mean, I think where we're facing the most competition right now is out with GM floorplan dealers. And we've lost some accounts there. I think, what we tend to focus on is the overall levels of floorplan balances, which remain in check in the kind of the $33 billion-ish type of range there. But while we've lost some GM accounts to GMF, we benefited by what we're doing in the growth channel, and picking up growth floorplan dealers as well, I think we had migrated about 275 dealers there relative to a year ago. So we're making good progress on that front. But why people stay with us? I think it's the comments that we try to make about the experience of this associate base and the adaptability of the associate base. And even -- we've obviously talked in the past about Ally Dealer Rewards, being a key way that we get dealers to kind of keep their business with us. While we've adjusted Dealer Rewards and we worked with the dealers to make sure we can get a better look or a better mix of origination. So while lease, for example, is now completely gone away, I mean, what we have seen is an uptick in the amount of the standard rate business, the used business, the nonprime business that our GM dealers are giving us, so it comes back to just the dealers, for the most part, know what to expect. And yes, while we're premium priced, they get a level of associate expertise and the ability to book a lot of loans very quickly and very efficiently. So I'm not going to deny that we haven't walked some accounts to GMF, but I feel overall very good. And obviously, GMF continues to still build out. They're still hiring folks. So through time, we'll see what it will leads to. But the GM deal relationships we have our exceptionally solid. I was on yesterday with about 10 of our best GM dealers in the U.S. as well. And talking through a lot of the open dynamics that are at play here. But through time, I think, people stick with Ally because they know what to expect, they know we have the best people in the industry and that's worth the premium on price. 
Donald Fandetti: And is it still your hope that you'd be able to take out some or all of the some of the remaining Series G this year? 
Jeffrey Brown: That absolutely is my hope. And as mentioned, we're in dialogue with the regulators on that topic. 
Operator: And your next question is from the line of Rick Shane from JPMorgan. 
Richard Shane: Really looking for a little bit of a clarification on what you said for charge-offs on auto into the remainder of the year. You're not guiding towards a 1% loss rate for the year. You're saying that in the second half of the year, losses will grab a payback towards the 1% range? 
Christopher Halmy: I'm actually guiding for the year. My expectation is that it will just be under 1% on an annualized basis. So... 
Richard Shane: Got it. And one of the.. 
Christopher Halmy: So -- second quarter is the low point, so we'll start ticking up in third and fourth quarter. And when you average it for the year, you'll be -- my projection is somewhere in the high '90s right now. 
Richard Shane: Got it. And the way we look at it is, I mean, on the year-over-year basis for the first 2 quarters of this year, you're about 7 or 8 basis points above where you were last year. And again, given the seasonality, I think, that's the right way to think about it. Are the metrics in the second half of the year going to be in that sort of band, plus or minus 10 basis points over where they were in 2014? 
Jeffrey Brown: Yes, I think, so. So if you look at the asset-quality chart on Slide 12, I mean, you'll see that seasonal dynamic. And I would expect that the tick up in the third quarter and fourth quarter, will be, let's say, 10 or 15 basis points higher than the sequential quarter in the prior year. And to give you a little bit more context, even what I said for 2016, I said it's going to drift up from there. The loans we're putting on in both in the first quarter and the second quarter have what I would call an annualized loss rate projection of somewhere around 110 basis points. So if you think about that's what we're putting on the books today, the whole auto finance book will migrate up to somewhere 110 kind of range. Then if you look at the coverage rate, the coverage rate we're holding right now about 126 basis points. So we feel pretty good about our coverage rate and where our provision balances has really -- stick today. So -- but you'll see, it just kind of drift off from here. 
Richard Shane: Great, well, that's helpful in terms of the mix shift. Just so, we have apples-to-apples comparison, if you think that the book that you're putting on today is a 110 loss rate over time, where do you think the legacy book was? So that way we can sort of recalibrate this. Is this 10 or 15 basis points below that? 
Christopher Halmy: Yes, I'd probably say that. Yes, I mean, I think the legacy rate is probably around the 1% range. 
Operator: Your next question comes from the line of Eric Beardsley from Goldman Sachs. 
Eric Beardsley: Just a follow up on that point. As you have your mix shifts, are you comfortable with the current level of the subprime originations today? Or could that continue to expand? And if so, what impact would that have on the charge-off rate? 
Jeffrey Brown: Yes, thanks, Eric, it's J.B. I mean -- look, we've kind of seen growth year-over-year from 9% deployments to about 15%, 14%, 15% where we're at today. And I think that was sort of the near-term goal. I don't expect us to go meaningfully beyond it. So I think what Chris is pointing out on the direction of kind of charge-off trends is pretty much consistent with -- assuming we say at above that 15% level. I don't see us pressing far beyond that. But again, I think it's being done with a couple of things in perspective areas. Simplistically, we look at the macroeconomic trends, think about where unemployment is trending. We make crack through the 5% level even early next year at some point. So while unemployment levels are very strong and solid, we think credit is going to hold up quite well. Again, keeping in mind this is a relatively short asset. So 2-, 3-year asset turns quickly. So we're comfortable there. And then, obviously, the other big point is when you think about the amount of residual exposure that's coming off the balance sheet, this is a way to redeploy. And as we sort of step back and think about supply dynamics and levels of used cars, I mean, us, dialing back on residual exposure for a little bit more credit exposure, we think some pretty smart freight in this point of the cycle. 
Eric Beardsley: Got it. This is a follow-up. With the 1.1% charge off freight, what's the consumer loan yield of the new originations that you're putting on? 
Jeffrey Brown: Yes, they're ranging right now about 5.58%. So somewhere between, say, 5.5% or 5.6% right now, which is up. So if you see we even disclosed, on our auto finances on Page 13, that the retail loan portfolio is about 5.3%. So we're seeing about, what I would call, 20- to 30-basis-point increase in the yields that we're putting on versus the portfolio today. 
Eric Beardsley: Got it. So over time, the whole book should migrate there presumably? 
Christopher Halmy: It should migrate up; I mean, obviously, the rise in interest rates will affect that as well. 
Operator: And your next question is from the line of Moshe Orenbuch. 
Moshe Orenbuch: Great. Most of my questions actually been asked and answered. I think -- you talked a lot about the job you did on defending your market share and the floorplan. Just talk a little bit about what you can and will do with respect to the yield on that portfolio as things go forward. 
Jeffrey Brown: Yes, thanks Moshe, it's J.B. And Chris, feel free to dive in as well. I mean, I think, more or less, you sort of bottomed out now. And the page that Chris just referred to, I think it's Slide #13 and we disclosed the net commercial portfolio yield. And you can see it's down to 2.9%, which is consistent with last quarter. That's net of Ally Dealer Rewards as well. And so we sort of stabilized. So despite it being very competitive, and certainly, there are offerings out in the market. In fact, I saw one yesterday at 1.25%. So I mean, there are some lower rates in the market, but for the most part, I feel like we've kind of normalized with where we're at in the overall portfolio and I don't expect much drift from here. And then obviously, given the move of accounts off of the prime rate force in the LIBOR, puts us in a much better position of when rates do start rising. So part of the margin compression, and you'll see it on that chart, we lost about 30 basis points in margin year-over-year, and that's been the result we moved accounts to LIBOR and floating rate indices. We've given up some near-term margin. But obviously, it's a much better rate posture going forward. 
Operator: And your next question comes from the line of Eric Wasserstrom from Guggenheim Securities. 
Eric Wasserstrom: I just wanted -- just take a moment, if you wouldn't mind, summarizing all the puts and takes then that/are going to be moving through the net interest margin. On the asset side, it seems that it's an overall bias towards higher pricing with an increased mix of nonprime. Is that the basic dynamic? 
Jeffrey Brown: Yes. I mean, I think commercial yields will be pretty flat. So you should hopefully get a little bit of lift with -- you're going to get a little bit of lift on the retail side. But keep in mind, we still have a lease book that's rolling off. And the lease yields have been higher than we expected. The lease yields were actually almost 6.5% this quarter, which is because of the higher remarketing gains. So you have a dynamic going on a bit where retail should have better pricing, but the lease book coming off will lower some of the margin as well. So I think, overall, I would guide you that it will be pretty flat on the yield side, but we will still see cost of funds improvements, particularly as we get into the third quarter, we'll continue to run through the book. 
Eric Wasserstrom: And the cost of funds improvement derives specifically from the continued deposit growth or is there additional reduction in the debt footprint that you anticipate? 
Jeffrey Brown: Yes, well, what I would say, in the second quarter, we had a pretty significant reduction in the debt footprint, and that happened both from maturity, thus, an example, you had a very big euro bond that matured in the second quarter and we also did some of the debt tender, so we didn't have a full quarter effect of that. So the biggest driver of the decrease in cost of funds from 2Q to 3Q will really be the unsecured movements coming down. So you'll see that. Now when I think about it longer term, it really has to do with the growth of the deposit book and the continued asset migration into the bank. Today, deposits have about 115 basis points cost of funds, and we're funding a lot of those loans at the holding company through securitizations and unsecured debt that runs at 4%. So as you migrate those loans over time to the bank, you'll have further cost of funds reduction. So I would just guide you to, say, 3Q will be a pretty nice move down, and then there will be kind of a steady move depending on the asset migration. 
Operator: And your next question is from the line of David Ho from Deutsche Bank. 
David Ho: I just want to clarify on the asset-pricing migration. Are we still relatively in the early stages in terms of the nonprime being priced at Ally. Does that imply -- as you get towards the second half of the year, that -- if things get -- become a little more competitive, that your buy rates can still remain competitive even in a rising rate environment? 
Jeffrey Brown: We look at the risk-adjusted spreads, okay? So the yields we're getting on these loans versus the risk were taking. And that's the dynamic that we look out on an ongoing basis when we decide to, obviously, play in the space. So our view of things like the macroeconomic environment where we see losses migrating to where we see the competition and what the spread we can get over what our losses are going to be, is a decision that we make on a pretty ongoing basis. So as we look forward, we do not see deterioration in credit. So we feel pretty good about the credit environment. And when it comes down to the competitive environment, it's something that we have to weigh on a really month-by-month basis who were the competitors and what are the prices. Keep in mind, we see lots of applications. And when I think about the applications we booked, we only booked like 13% of the applications we see. So we are pretty selective when we make sure that we're going to get paid for the risks we take. 
Christopher Halmy: Obviously, maybe, David, the only thing I'd add is some of the banks -- some of the competitors have sort of said they backed away a little bit from nonprime space, and part of that I think is us getting in a bigger appetite and kind of forcing other side of the channel. But if you start to think through who do we compete with in, kind of, the nonprime zone, more captives more than non-bank financials, and obviously, as rates do start rising whether that later this year, whether that's into next year, I mean, they're going to see their cost to funds repriced pretty much basis point per basis point. So from our perspective, having $52 billion of retail deposits that can get lagged, I think puts up to an even more competitive posture whenever we get to rising rates. 
David Ho: That's helpful. And then separately on the Series G potential redemption, what are the main regulatory hurdles in your mind at this point that gets you there? Obviously, another quarter of good results probably helps, but what are those that you think of? 
Christopher Halmy: Yes, I mean, you obviously go back to the CCAR submission. And our financial performance tracking against our baseline plan and the CCAR submission, which is actually been better than we had originally planned. So that is obviously a positive. So I would say that it comes down to really the regulator's view of the overall capital levels of the institution versus the risk where we have on our books. So we're obviously in close dialogue with our regulators on an ongoing basis, and right now, we're talking about the Series G with them. So we'll see. 
Jeffrey Brown: Elimination. That's preferred. It was a good thing as well. 
Christopher Halmy: Yes. 
Operator: And your next question comes from the line of Chris Donat of Sandler O'Neill. 
Chris Donat: I had a question about your deposit franchise. Because I read press reports this month that for Ally Bank, for ATM fees that, there had been unlimited reimbursements. And that that's -- sorry, unlimited reimbursements for ATM charges outside of the network. And I understand that, that's changed. Can you talk a little bit about that? Does that reflect that you're deposited franchise is strong enough that you're willing to let some business kind of go away? Or is there something else going on there? 
Christopher Halmy: Chris, it's a good question. I mean, to clarify what we've done, it's still consumers can get -- use free ATMs through the Allpoint network, which I forget how many thousands and thousands of ATMs are across the U.S. But we still have a wide range of the ATMs that are free for our consumers to access. But we basically, what we've done in the policy is shifted to first $10 of ATM charges in any month are reimbursed, and then beyond there, there's the normal ATM fees associated with it. I don't think it's necessarily a function of us changing our appetite. But clearly, as we comb through the customer base, as we look at profitability by customer accounts, this was just a change that we felt made sense to make. And by the way, the offering that we still have out there, we think competes even more favorably against any other bank, direct or brick-and-mortar, what's out there today. So it was a small subtle change. We have thankfully not experienced really much negative customer feedback on it. We monitored the situation closely. We feel that a number of calls just to clarify the consumers. But once they understand, they can access thousands and thousands of ATMs still without incurring the fee. I think, generally speaking, customers were just fine. 
Chris Donat: Got it. The part of the reason I asked the question is the bank's brand is so strong that -- and so customer friendly, I didn't -- any change is curious to me. And sort of related to that -- it looked like the -- on a year-on-year basis, the number of your deposit accounts grew a little faster than the value of deposits, which I assume reflects your picking up some smaller-sized deposits. Is that sort of typically how you grow? Someone starts with a smaller amount and it grows over time? Or is there something else going on in that trend? Or am I reading too much into it? 
Jeffrey Brown: Yes, that's exactly right. That's exactly right. And one of the big emerging trends we've gotten in the book, I think, north of 35% of the existing base is more of a millennial customer. And that becomes very important to us as we start thinking through future strategies. So again, back to kind of how we think through one Ally from the pure deposit lens, some of these folks may not appear to be the most profitable deposit customer. But as you start to think through how that customer is going to go through their life cycle and potentially need an auto loan, maybe they need a mortgage, maybe they need a credit card, you can start to imagine a lot of other products that you can deliver to these consumers through time. So we think we've got really solid trends in the customer book, and yes, it starts in smaller amounts in the deposit plan. But then when you think long term, it's a great opportunity ahead of us. 
Operator: And your next question comes from the line of John Hecht from Jefferies. 
John Hecht: I guess a little bit more color on your tactics and gaining share in competition so forth that you've obviously done a good job, both from the Chrysler channels and the used car channels, gaining share. You mentioned a few things, you mentioned some of the bigger lenders pulling back potentially, you mentioned some of your own tactics to push others out. I'm wondering if you can give us a little color. I mean, is the tactics are they pricing? Are they terms? Are they just relationship-driven? And then on the large lenders pulling back, wondering if you could give us some color there. 
Christopher Halmy: Yes, I mean, I'll start with saying that the dealer relationships are extremely important. Both our existing relationships and the new relationships that we're forging. And as an example, when you think about the Growth Channel, we've added over 900 dealers this year to our growth channel. And what does that really translate to? It translates into incremental applications. And as J.B. mentioned, we've got 2.7 million applications in the quarter alone. So when we think about incremental flow of applications, even at a very similar approval rate and even in lower, what I would call that book to look rate, we're generating incremental originations because of that. So that becomes very, very important to us. Now incremental to that, there we get into the penetration of the dealers and how we're penetrating these new relationships. We didn't put it in this stack. But if you remembered, last quarter, we had a deck on kind of the penetration and one of the things we monitor is how many dealers give us 5-plus loan applications, that we do 5-plus loans, I should say. And in last year, in this quarter, it was 22%. This year, it was up to 30%. So what does that say? It says the penetration we're getting in our existing and new dealers is really starting to grow. So that's driving, once again, incremental originations. And now we've established a better foothold on our dealerships in the nonprime segments. So they know we're open for business and they're giving us more applications on that side. So a lot of it has to do with the depth and breadth of these dealer relationships. 
John Hecht: That's great color. And then a follow-up question. Just thinking about capital and liabilities and you've done a lot addressing your capital structure. And so I'm just wondering, should we start thinking about repurchases and dividends as part of the '16, CCAR, or part of the '17 CCAR? Just maybe give us a sense of the page for that type of modification. 
Christopher Halmy: Yes, I think, our feeling at this point in time, is that 2016 CCAR submission, which if you remember now, will be a second quarter submission, our expectation is that we will have some level of dividends or share repurchases in that submission. So obviously, we're balancing Series G and how long it takes us to take out the Series G but the next phase for us really will be become a dividend payer and have that ability to do share repurchases. So your expectation is that, that we should have it in that submission in 2016. 
Operator: And your next question comes from the line of Ken Bruce from Bank of America Merrill Lynch. 
Kenneth Bruce: I appreciate your comments on the competitive landscape and the like. And I was hoping to understand you had mentioned in the commercial area that you had some wins and losses. And just on the loss side, what it is that tends to be kind of the thing that might swing a dealer either towards GM Financial or if in fact, in that flag flying space or otherwise, on losses, what tends to be the factor, pricing or otherwise? 
Jeffrey Brown: Yes, I mean, Ken, it's J.B. I think, it's very rare. And I don't say that to be arrogant, but it's very rare that we'd lose a dealer to service levels. I think, generally speaking, across the board and bank space, Ally is really top of the list. And in fact that J.D. Power survey that was just released, I think, reiterated that for all the bank players. So it's never really a bout service. It gets down to price. And again, as I mentioned earlier, I saw a 125 floorplan rate out there. And so for us, we never want to lose a relationship, but obviously, we have a responsibility to our shareholders to balance appropriate economic returns. And so if we've got it -- floor plant for plan point that goes, so be it. But we won't chase uneconomic rates. We try to work very hard with the dealers, work with them and that's part of the reason we have some margin compression, and we've had, as I pointed out, a 30-basis points year-over-year that commercial yields have come down. Part of that has been to the competitive environment. But at the same time, I think, we positioned ourselves better for a rising rate environment. So it's --- there are a lot of aggressive rates out there. But again, I think, for us, when we think about the number of dealers, that are floorplanning with us, we're basically on a year-over-year basis, so I think, we're flat to slightly up. And so we shifted out to some of the GM space and ended up more to this growth channel and Chrysler dealers. 
Kenneth Bruce: Okay. And then in terms of the move into nonprime, I guess, I'm curious as to how you think about that particular segment. There's been a lot of focus on some of the deterioration and underwriting standards in that sector. And I guess, if you look at it, used car prices have been very strong, I think, that has helped credit performance in that space as well, and you kind of mentioned this trade off of residual risk to credit risk, and I guess, I kind of look at that as maybe one in the same in the nonprime sector. So if you could just maybe kind of talk about what you're seeing in terms of the assets of that you see and whether you accept our past? Any general level of quality transit that we could maybe get your insights into. 
Christopher Halmy: Yes, keep in mind, we make loans even in the subprime space or the nonprime space to customers who we expect to pay back the loan. We don't expect ever to go get the car, which is why we pay -- we play on really the top half of kind of that nonprime space mostly. And because of that, I know that used car prices are more meaningful than nonprime sector than they are prime sector. But the sensitivity to a lease versus nonprime is much greater on the lease side. So what we really look at as a much bigger factor is unemployment, and the people have jobs, they're going to pay their auto loans. So we are playing in a nonprime space, we're what I would call more aggressive from a standpoint of we're open for business there. But we're paying close attention to really the microeconomic environment and what that will mean to us and we are making sure we are getting paid for that risk. 
Operator: I would now like to turn the call over to Michael Brown for closing remarks. 
Michael Brown: Great. Thanks for joining us this morning. If anybody has additional questions, please feel free to reach out to Investor Relations. Thanks, Emma. 
Operator: Thank you for your participation in today's conference. This concludes today's presentation. You may now disconnect. And enjoy the rest of your day.